Operator: Welcome to Bed Bath & Beyond’s fourth quarter and year end 2006 Results Conference Call. (Operator Instructions) Now I would like to turn the conference over to Ron Curwin, Senior Vice President of Investor Relations of Bed Bath & Beyond. Mr. Curwin, please go ahead.
Ronald Curwin: Thank you and good afternoon. Welcome to Bed Bath & Beyond’s fiscal fourth quarter and fiscal year 2006 conference call. Within the past hour, we issued a press release announcing Bed Bath & Beyond’s results for the three- and 12-month fiscal period ended March 3, 2007. As you know, our fiscal fourth quarter was a 14-week period and fiscal 2006 consisted of 53 weeks. During this call, we will discuss our fiscal fourth quarter highlights and update guidance for fiscal 2007, which will be a 52-week year ending on March 1, 2008. The recently announced acquisition of buybuy BABY did not affect the results for the fiscal fourth quarter and fiscal 2006 since the acquisition was consummated in fiscal 2007. Before proceeding, I will read the following statement: Bed Bath & Beyond’s fiscal fourth quarter of 2006 press release and comments made during this call may contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Many of these forward-looking statements can be identified by the use of words such as may, will, expect, anticipate, estimate, assume, continue, project, plan and similar words and phrases. The company’s actual results and future financial condition may differ materially from those expressed in any such forward-looking statement as a result of many factors that may be outside the company’s control. Please refer to Bed Bath & Beyond’s fiscal fourth-quarter of 2006 press release and its SEC filings, including its Form 10-K for the year ended February 25, 2006 and the Forms 10-Q and 8-K filed by the company since that date. The company does not undertake any obligation to update its forward-looking statements. Warren Eisenberg, Co-Chairman of Bed Bath & Beyond, leads off today’s call. Steven Temares, Chief Executive Officer and a member of the board of directors will follow Warren. Our 2007 outlook and some additional financial commentary will conclude today’s call. I’m now very pleased to introduce Warren Eisenberg.
Warren Eisenberg: Thanks Ron. Good afternoon. As many of you have read in our press release issued within the past hour, Bed Bath and Beyond in fiscal 2006 achieved its 15th consecutive year of record earnings since becoming a publicly-held company in 1992. The press release showed that the company earned $0.72 per share in the quarter and $2.09 for the year including the previously announced fourth quarter non-recurring charge related to internal revenue code section 409-A, which resulted in approximately $0.07 per share. So excluding the non-recurring charge, our company earned $0.79 per share in the quarter and $2.15 per share for the year. Our earnings for the quarter and the year benefited from an additional week. Our long-term performance continues to be one of the most consistent among all public companies. I believe our ongoing store opening and relocation programs, our new merchandise initiatives, our added retail concepts and our superior customer service will fuel our growth for many years to come. On March 22, 2007, the company announced the all-cash acquisition of buybuy BABY, a privately-held retailer of infant and toddler merchandise for approximately $67 million and repayment of debt of approximately $19 million. buybuy BABY was founded in 1996 by Richard and Jeffrey Feinstein -- both of whom were previously employed by Bed Bath & Beyond -- and are the sons of Len Feinstein who, together with me, serves as Co-Chairman. Based in Garden City, New York buybuy BABY operates eight stores in New York, New Jersey, Maryland and Virginia. The stores range in size from 28,000 square feet to 60,000 square feet and offer a broad assortment of merchandise for expectant parents, infants and toddlers. In December, our board of directors approved a $1 billion share repurchase program which authorized the company to purchase shares of its common stock with funds from present and expected future cash flows. Through the end of fiscal ‘06, we repurchased approximately $300 million of our common shares. This program, the third since 2004, reflects the board’s confidence in our future. Steve will have more to say about this board action as well as the recent acquisition of buybuy BABY. During fiscal 2006, we added 74 new Bed Bath & Beyond stores bringing to 815 the number of stores operating at fiscal year end located in 48 states, the District of Columbia and Puerto Rico. In the fiscal fourth quarter, we added 20 Bed Bath & Beyond stores, including our first store in the State of Alaska. Also at fiscal year end, Christmas Tree Shops operated 34 stores in eight states and Harmon stores operated 39 stores in three states. Consolidated store space as of March 3rd, 2007 was approximately 27.8 million square feet. We continue to open new fine china departments and new Harmon Health and Beauty Care departments within Bed Bath & Beyond stores. In addition, we continue our efforts to increase the productivity of existing stores by expanding, remodeling and/or relocating them. At this time, we anticipate opening approximately 70 new Bed Bath & Beyond stores in fiscal 2007, relocating several others, and improving and growing our Christmas Tree Shops, Harmon and buybuy BABY operations. We are also developing a new state-of-the-art Christmas Tree Shops distribution center and a new e-service fulfillment center to accommodate future growth. Our company has been debt-free since 1996. Despite our substantial growth, infrastructure enhancements and share repurchase programs, cash, cash equivalents and investments securities totaled about $1.1 billion at fiscal year end. Although we are aware of the results being reported by other operators and of the current macro economic environment, we are confident as our consistent results attest that home goods continues to be an extremely attractive sector. Through the efforts of our over 35,000 associates in our decentralized environment, our strong financial condition and our competitive position in the marketplace, we are confident that fiscal 2007, which began about five weeks ago, will be our most profitable year ever and our 16th consecutive year of record earnings. Now I will turn the call over to Steven Temares.
Steven Temares: Thank you, Warren. Good afternoon everyone and thank you for participating in this conference call. We are pleased to have reported within the past hour a solid fourth quarter and fiscal 2006. Before reviewing these results, I’d like to comment on our recent acquisition of buybuy BABY, further discuss our current share repurchase program and comment on the non-recurring charge in the fiscal fourth-quarter. We believe the addition of buybuy BABY to our Bed Bath and Beyond, Christmas Tree Shops and Harmon stores concepts is an excellent strategic fit which will strengthen our company and permit us to satisfy our customers in new ways by servicing another portion of their lifecycle. With just eight buybuy BABY stores today and the fact that Bed Bath & Beyond’s customer base includes many prospective and current parents as well as their relatives and friends, we believe this category of business has tremendous growth potential for us. We are excited about the opportunity this provides to enhance our offerings to our customers in our stores and through our e-service sites. We welcome our new associates at buybuy BABY, and are very excited about the contribution they will make toward the achievement of Bed Bath & Beyond’s long-term goals and objectives. With regard to our share repurchase program, as we said in December, in approving a $1 billion share repurchase program our board expressed its continued confidence in our company’s long-term growth potential, financial outlook and excess cash flow generation In addition to providing value to our shareholders through these share repurchases, we expect that our strong operations will enable us to also continue to invest in our infrastructure as well as maintain our flexibility to continue to take advantage of opportunities as they may arise. As Warren said, during the fourth quarter of fiscal 2006 our company repurchased approximately $300 million of our common shares. We will update you on our share repurchase activities on a quarterly basis. With regard to our fiscal fourth quarter, as we previously announced we incurred a non-recurring charge primarily resulting from cash payments to over 1,600 employees, excluding senior management, to protect them from certain potential adverse tax consequences arising pursuant to Internal Revenue Code Section 409-A. Although we had initially estimated this pre-tax charge to be approximately $40 million, the actual fiscal fourth quarter, non-recurring pre-tax charge was approximately $30 million, equivalent to about $0.07 per share. We believe it is likely we will recoup a substantial portion of the cash outlay over the next several years through higher proceeds from future stock option exercises, although such recovery would not flow through the income statements. Also as previously disclosed, our company continues to co-operate with the informal inquiry of the Securities and Exchange Commission and the inquiry of the United States Attorney’s Office of the District of New Jersey regarding our stock option grant practices. With respect to the financial results of our fiscal fourth quarter, which benefited from an additional week, the company earned $0.79 per share, excluding the non-recurring charge related to 409-A of approximately $0.07 per share, an increase in earnings per share of approximately 17.9% from $0.67 per share earned in the fiscal fourth quarter 2005. As Warren said, for all of 2006, which again benefited from an additional week, net earnings were $2.15 per share excluding the fourth quarter non-recurring, approximate $0.07 charge related to 409-A. The $2.15 per share exceeded fiscal 2005’s 52-week year earnings per share by approximately 12%. Recall that as we previously disclosed, fiscal 2005 included only half a year of stock option expense due to the early adoption of FAS 123 R starting in the third quarter of ‘05. Net sales for the 14 weeks ended March 3, 2007 were approximately $2 billion, an increase of approximately 18.4% from the fiscal fourth quarter of 2005, which had only 13 weeks. Comparable store sales for the fiscal fourth quarter of 2006 increased by approximately 5.2% on top of an increase of approximately 6.3% in last year’s fiscal fourth quarter. Net sales for fiscal 2006, which was a 53-week year, were approximately $6.6 billion, an increase of approximately 13.9% from the prior fiscal year which had 52 weeks. Comparable store sales for all of fiscal 2006 increased by approximately 4.9% on top of an increase of approximately 4.6% in fiscal ‘05. The gross profit margin for the full fiscal year improved slightly from fiscal 2005. The approximate 110 basis point decline in the fiscal fourth quarter was primarily due to higher inventory acquisition costs. Inventory acquisition costs were higher, primarily due to a shift in purchase volume incentives earned during our fiscal third quarter, which as we discussed in December, benefited that quarter. Selling general and administrative expenses for the fourth fiscal quarter, excluding the non-recurring pre-tax charge of $30 million related to 409-A were about $523 million or 26.2% of net sales compared with approximately $443 million or 26.3% of net sales from the corresponding quarter a year ago. The SG&A ratio for the quarter benefited from higher sales. For the full year, excluding the nonrecurring pre-tax charge related to 409-A, the deleveraging of SG&A of approximately 130 basis points resulted from several factors. These included the expensing of stock options for 12 months in fiscal 2006 versus just six months in fiscal 2005; additional stock-based compensation charges, primarily related to the revised measurement dates; increased legal and accounting charges associated with the stock option review; and an increase in advertising which includes higher paper costs and postal rates. Lastly, there were one-time benefits experienced in 2005 -- the settlement of credit card litigation and certain insurance recoveries -- which we did not have in fiscal 2006. Warren commented earlier on the completion of our fiscal 2006 store opening program and on other initiatives taken to enhance our customers shopping experience, including increasing the productivity of existing stores by expanding, remodeling and or relocating them. We expect to open approximately 70 new Bed Bath & Beyond stores in fiscal 2007 and improve and grow our Christmas Tree Shops, Harmon and buybuy BABY operations. We strongly believe in and are passionate about the strong growth potential of each of our retail concepts and the ability they provide us to do more with our customers in the years ahead. We would like to emphasize that while others in our industry might be unable to invest in their infrastructure, we are fortunate to be able, and are committed to, investing in our company to provide our customers with a better shopping experience for years to come. The widening gap between us and our competitors creates a significant opportunity for our company to continue to increase our share of the home furnishings market. Over the last 15 years, Bed Bath and Beyond store count has expanded from 34 stores in nine states to currently 816 stores in 48 states, the District of Columbia and Puerto Rico. We have vastly improved our infrastructure and our company has never been stronger or better positioned to compete. While our position in the home goods retail sector is getting stronger, our share of the over $120 billion home goods market remains in the single-digits, leaving a large opportunity for additional. profitable growth. As always, we will continue to explore other possible opportunities including international expansion and additional strategic acquisitions. I would like to recognize the outstanding efforts of our people, now numbering over 35,000 and their unyielding focus in providing our customers with the very best shopping experience possible. To them and to all of our business partners, thank you for still another great job in 2006. We will continue to strive to have an even better 2007. So to recap, excluding the previously mentioned non-recurring charge related to 409-A, our 14-week fiscal fourth-quarter produced record earnings of $0.79 per share, about 17.9% higher than a year ago on an 18.4% increase in net sales and a 5.2% gain in same-store sales. For all of fiscal 2006, excluding the previously mentioned non-recurring charge, earnings per share were $2.15, up about 12% from a year ago with net sales for the 53 weeks rising approximately 13.9% and comp store sales by about 4.9%. As Warren said, we are confident in the attractiveness of the home goods sector which continues to evolve in ways that should benefit our company long term through a combination of a broad merchandise assortment at everyday low prices, superior customer service, merchandising innovations, information technology enhancements and ongoing human resources development, we envision continuing profitable growth domestically, interactively and over the longer term, internationally. Ron and Ken will be in their offices this evening, April 11, to take your questions.
Ronald Curwin: Thanks, Steve. As you heard from Warren and Steve, fiscal 2006 produced our 15th consecutive year of record financial results and we’re looking forward to another successful year in fiscal 2007. Based on our just-reported results of $2.15 per share which benefited from an additional week, our fiscal 2007 business plan and the planning assumptions and estimates upon which it is based remains in line with the preliminary guidance we gave in our December conference call. Net sales for each of the first three fiscal quarters for 2007 are expected to grow by approximately 10% to 12%; analyst consensus estimates of $0.39 per share for the fiscal first quarter appear reasonable. We presently see earnings per share for the second and third fiscal quarters growing by a low double-digit percentage. The fiscal fourth quarter, which will be 13 weeks versus 14 weeks in fiscal 2006, is planned to result in low single-digit increases in net sales and earnings per share over the just-reported fiscal 2006 Q4 earnings of $0.79 per share. The benefit of the acquisition buybuy BABY is not expected to have a material effect on our operating results or financial condition in fiscal 2007. The following are the updated major planning assumptions for fiscal 2007: We expect to open approximately 70 new Bed Bath & Beyond stores, and in order to enhance their productivity, relocate several existing stores in fiscal 2007. We also plan to improve and grow our Christmas Tree Shops, Harmon Stores, and buybuy BABY operations. The majority of the new store openings are expected to occur in the second half of the fiscal year. Consolidated same-store sales are modeled to increase from 3% to 5%. New Bed Bath & Beyond stores are expected to generate between $160 and $185 per square foot in the first 12 months of operation. We anticipate a decrease in operating profit margin for the full year. As a result of the share repurchase program, the acquisition of buybuy BABY, an increase in capital expenditures and the current interest-rate environment among other considerations, interest income is expected to decline in fiscal 2007. Continued progress on our share repurchase program is anticipated. Provision for income taxes continues to be estimate at approximately 36.3% of pre-tax earnings. We continue to invest in our company to support future growth and to further extend our competitive advantage over our competitors. As such, capital expenditures for fiscal 2007, principally for new stores and existing stores refurbishment, information technology enhancements, the new Christmas Tree Shops distribution center, a new e-service fulfillment center and other infrastructure investments are presently being estimated at approximately $375 million. This constitutes our largest capital expenditures program to date, evidencing our long-held belief in building the strongest and most effective platform for future solid growth. Depreciation has been planned at approximately $150 million. As previously mentioned, fiscal 2007 will be a 52-week period consisting of four 13-week fiscal quarters versus fiscal 2006, a 53-week period. Before concluding this afternoon’s call, a few additional comments relative to the recently concluded fiscal 2006: Our consolidated balance sheet and cash flows were solid throughout the year, even after share repurchases of approximately $300 million during the year and capital expenditures in excess of $300 million, cash and cash equivalents and investment securities as of March 3, 2007, approximated $1.1 billion. Since the initial buyback program commenced in fiscal 2004, the company has returned to shareholders an aggregate of approximately $1.3 billion through share repurchases, while maintaining a debt-free balance sheet, investing significantly in our infrastructure, and expanding our retail concepts. Merchandise inventories as of March 3, 2007, were on plan at approximately $1.5 billion or about $54 per consolidated square foot. We continue to be pleased with the content and condition of our inventories, and continue to tailor inventories on a store-by-store basis to conform to the needs and desires of our valued customers. Consolidated shareholders equity at March 3, 2007 approximated $2.6 billion net of share repurchases of common stock and including the adoption of Staff Accounting Bulletin 108 which relates to immaterial adjustments to prior year accounting treatments. For all of fiscal 2006, consolidated capital expenditures were approximately $320 million, mostly for new and existing stores, information technology, the acquisition of our corporate office building and supply chain costs, including those related to our planned Christmas Tree Shops New Jersey distribution center and e-fulfillment center. Depreciation for the year amounted to approximately $133 million. Consolidated store space as of March 3, 2007 was approximately 27.8 million square feet. You have heard us say on numerous occasions that we are never fully satisfied, and we remain dedicated to doing a better job in the future. We have the premier offering in the retail marketplace for goods related to the home and a growing, though still small, market share. Through providing our millions of customers with the best possible shopping experience, our entire organization is dedicated to continuing our consistent, profitable growth and to achieving outstanding returns for our shareholders for many years into the future. As a reminder, our next conference call to review operating results and other matters for the first fiscal quarter of 2007 will be on Wednesday, June 27, 2007. If you have any questions, Ken and I will be in our offices this evening, April 11, to take your questions. As always, we very much appreciate your interest in Bed Bath & Beyond. Have a pleasant evening.